Operator: Good morning, and welcome to the AstroNova Fiscal Fourth Quarter and Full Year 2025 Financial Results Conference Call. Today's call is being recorded. My name is Ezra, and I will be your coordinator on today's call. [Operator Instructions] I would now like to turn the conference call over to Scott Solomon of the company's Investor Relations firm, Sharon Merrill Advisors. Please go ahead, sir.
Scott Solomon: Thank you, Ezra, and good morning, everyone. Our Q4 fiscal 2025 earnings release and the slide presentation accompanying management's prepared remarks are posted on the Investor Relations page of our website, www.astronovainc.com. Turning to Slide 2 of the presentation, statements made on today's call that are not statements of historical fact are considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are based on a number of assumptions that could involve risks and uncertainties. Accordingly, actual results could differ materially except as required by law. Any forward-looking statements speak only as of today, April 14, 2025. AstroNova undertakes no obligation to update these forward-looking statements. For other information regarding the forward-looking statements and the factors that may cause differences, please see the risk factors in AstroNova's annual report on Form 10-K and other filings that the company makes with the Securities and Exchange Commission. On today's call, management will refer to non-GAAP financial measures. AstroNova believes that the inclusion of these financial measures help investors gain a meaningful understanding of the changes in the company's core operating results and helps investors who wish to make comparisons between AstroNova and other companies on both a GAAP and a non-GAAP basis. The non-GAAP financial measures are reconciled to the most directly comparable GAAP measures in today's earnings release. Turning to Slide 3. Hosting this morning's call are Greg Woods, AstroNova's President and Chief Executive Officer, and Tom DeByle, AstroNova's VP and Chief Financial Officer. Greg will begin the call with management's -- an overview of management strategy to make AstroNova a stronger company. Tom will review financial results and pass it back to Greg for concluding comments. We'll follow the formal presentation with time for management to take your questions. Now, please turn to Slide 4 as I hand the call over to Greg.
Greg Woods: Thank you, Scott. Good morning, everyone, and thank you for joining us. We had a challenging year in fiscal 2025, but have been aggressively making changes at AstroNova to improve our performance. We had a tough integration of the MTEX acquisition, faced lower demand resulting from the Boeing strike, and had delays in large defense industry orders. While disappointed in our performance in fiscal '25, there were some bright spots. For example, our Test & Measurement segment, which will be renamed the Aerospace segment starting in the first quarter of fiscal 2026, had record revenue. This name change better reflects the end markets we serve with that business segment. I'll be referring to the segment as Aerospace throughout my prepared remarks. Nonetheless, given the situation, our management team and Board took immediate and decisive actions to address the challenges of growth and profitability. This included executing on a restructuring plan that is expected to deliver $3 million in annual cost savings. We also are rightsizing our product portfolio to focus on higher-margin, higher-growth products. I should note that we recently strengthened our Board with the appointment of Darius Nevin as Director last month. Darius enhances our Board's experience and knowledge with significant financial acumen and public company leadership experience. We look forward to his contributions to our future. MTEX has required a lot of work. We are reorganizing and realigning the business and have made solid progress in implementing a new level of accountability and discipline for its operations. We plan to leverage the key technologies and impressive manufacturing facilities of MTEX while rethinking our operating structure, product portfolio, go-to-market strategies, and how to drive operational excellence. We believe that we are positioned to drive market share gains with new product launches, tangible sales synergies and unique supply sourcing opportunities in fiscal '26. We have on fiscal year's product roadmap five next-generation products based on MTEX's print engine technology and also four from our legacy product offerings. As I'll discuss in more detail shortly, we are currently in the initial stages of deploying this print engine technology across the MTEX's product platform. In Aerospace, we are continuing to transition customers to our advanced ToughWriter printers. We remain confident in AstroNova's ability to deliver long-term shareholder value and in the promise of MTEX to expand our application capabilities, strengthen our competitive position and deliver improved printer reliability and print quality to our customers with this game-changing technology. Turning to Slide 5, the driving force behind AstroNova is data visualization technology, the engine that powers the products we manufacture. This technology expertise enables us to develop solutions that process analog and digital data in a fast, efficient, and often proprietary manner. Our technologies capture that data and convert it into usable formats such as graphics or text. Our strategy is to leverage our proprietary data visualization technology to provide highly differentiated products that drive a significant recurring revenue model. By recurring revenue, I'm referring to consumables such as ink, labels, paper, and other media, as well as service agreements, repairs, and upgrades that provide us with consistent, more predictable revenue streams. In fiscal 2025, recurring revenue accounted for 71% of consolidated sales. Let's now turn to our reporting segments, starting with Aerospace on Slide 6. In fiscal 2025, Aerospace contributed a record $48.9 million in revenue, representing approximately one-third of our consolidated sales. The segment also posted record full year operating profit of 22.8%, resulting in a five year compound annual growth rate of 17.4%. Aerospace remains a critical driver of our business, supported by a robust installed base of flight deck printers, currently deployed across more than 30,000 aircraft worldwide. These numbers reflect the significant role we play in the advanced aerospace safety, innovation and reliability. Recurring revenue, which includes parts, specialized thermal paper, service and repairs, accounted for 49% of the Aerospace segment revenue this past year, with hardware contributing the other 51%. As shown in Slide 7, there are two important growth catalysts for our Aerospace segment. The first is the ongoing transition to our advanced and higher-margin ToughWriter branded family of printers away from the legacy brands. We estimate that ToughWriter printer as a percentage of total printer deliveries will more than double to 86% by the end of the fiscal year. Our ToughWriter printers have a strong value proposition for our customers. They are lighter in weight for better fuel savings and improved aircraft efficiency. They also provide a significant increase in consistent reliable performance, enhancing safety during flight operations. And finally, the much higher print resolution improves readability for pilots, allowing for faster decision-making when reviewing flight plans and other critical updates. The strategic shift to ToughWriter enhances margins and will drive an estimated $4 million reduction in royalty obligations on legacy products. It's worth noting that these royalty obligations are set to roll off in the fourth quarter of fiscal '28, incrementally contributing to a stronger margin profile for the company. Another catalyst for growth is the opportunity to grow our service and supplies business in aerospace. We expect to increase our market share in the highly regulated aerospace printer paper business and expand our international affiliate repair business. Our Aerospace segment also offers data acquisition products for the defense industry. These include specialized telemetry products used primarily in rocket and missile testing and portable ultra-high precision data acquisition systems used in markets including defense and nuclear power. This summer, we plan to release a new flagship data acquisition unit, the TMX-200, an integrated hardware and software solution that expands our addressable market. Looking at Slide 8, our PI segment provides digital labeling and product marketing solutions, including printers, software and supplies used across packaging, labelling and mailing applications. We have an installed base of more than 10,000 printers, which collectively drive recurring revenue of 82%. From a financial standpoint, the segment was down year-over-year, primarily due to softer demand for hardware and supplies along with continued integration challenges at MTEX. PI reported a loss for the quarter due to the goodwill impairment and acquisition accounting adjustments. On a non-GAAP basis, operating profit for the segment was about 9% of sales. Excluding MTEX, margins were consistent with historic levels, reflecting the strength of our legacy business. We are revamping the PI sales organization to streamline operations, strengthen our global channel strategy and drive greater alignment across teams. In addition, we are expanding the portfolio of Astro Machine, which was acquired in 2022, with new mail handling equipment, further enhancing our product lineup and opening new market opportunities. Turning to Slide 9, let me dive a little deeper into the changes we are making at MTEX. We have a history of bringing cohesion and organizational excellence to past acquisitions, and while MTEX has presented its own set of hurdles, we are executing our standard integration processes. We quickly identify what is not working and address it aggressively. In MTEX's case, we identified several key areas for improvement to elevate MTEX to public company standards. Many organizational details have had to be addressed, such as formalizing employment agreements, centralizing management structures, and providing direction, focus, and prioritization. We are aligning leadership and driving accountability across the organization. This is a large cultural change as we create a unified vision and develop stronger team dynamics. We've overhauled the finance and accounting processes. We've addressed gaps in accounting practices to US GAAP standards. This includes changes in accounts for -- accounting for consignment sales, accounts receivable management, inventory oversight and reserve recognition. Additionally, we've implemented a formalized structure to ensure compliance. We believe we have established a solid foundation from which we can build. Finally, there are many operational enhancements we have been executing to take a private company mentality to a more proactive fact-based approach. By incorporating the tools and management practices of the AstroNova Operating System within MTEX, there is now a more disciplined product development process, strengthened quality controls and more formalized contract terms and conditions for our customers. We have also strategically refocused the product portfolio to prioritize high-margin opportunities. We're excited about the technology, the synergies we can capture, and the strong vertical manufacturing capabilities and footprint. As I noted on our Q3 call, the path to fully realizing the benefits of the MTEX acquisition is longer and more complex than anticipated. However, we believe the strategic upside is significant. In fact, together with MTEX, we have developed new highly disruptive print engine technology. This technology allows our products to use a broader range of inks that can be multi-sourced, which we believe will dramatically lower our ink costs and reduce our dependence on the limited set of suppliers on which we have had to rely. Moving to Slide 10, the next-generation products incorporating the new print engine technology will give users flexibility to use either dye or pigment inks, provide live over-the-air software updates, and allow for real-time equipment monitoring. Between now and the end of the year, we plan to introduce five next-generation products based on the MTEX's print engine technology: enhanced versions of the MTEX's ATOM2 and ATOM3 label printers will be launched as the QuickLabel-425 and 435, respectively; the MULTI 800 and the MULTI 1300 industrial packaging printers will be launched this summer under the new VERSA-PRINT brand; and in the fall, we will introduce the VERSA-PRINT 1200, the next-generation of our MTEX's AQUAFLEX flexible packaging system. The charts on Slide 11 depict how these next-generation products can increase consumables revenue through increased usage of label media and supplies. We anticipate a meaningful increase in average annual label media and revenue on a per installed unit basis for our next-gen mid-market printers. Ink consumption is also projected to rise, reflecting both increased utilization and the flexibility of our new print engine technology. In our packaging printer lineup, the next-generation systems feature wider formats and higher throughput, which naturally lead to greater ink usage per installed unit, further supporting our consumables-driven growth model. I'll now hand the call over to Tom for the financial review. Tom?
Tom DeByle: Thank you, Greg, and good morning, everyone. I'll begin with an overview of our financial performance on Slide 13. Net revenue for the fourth quarter was down 5.6% to $37.4 million on lower sales in both segments. Gross profit was $12.7 million for the quarter, resulting in a gross profit margin of 34.1%, down from the prior-year period, compared with the gross profit of $14.7 million and a gross profit of 37.2% for the same period in fiscal 2024, reflecting lower revenue and less favorable product mix in the 2025 period. Q4 FY '25 showed operating expenses of $25 million versus $10.8 million in Q4 of FY '24. As noted in our earnings release, our GAAP results included a $13.4 million non-cash goodwill impairment charge related to the PI segment, largely associated with the company's MTEX business. Unless otherwise noted, I'll be discussing our non-GAAP results, which we believe help investors gain a meaningful understanding of the changes in the company's core operating results. Non-GAAP operating expenses for the fourth quarter were $11.4 million, up 4.8% or $0.5 million from the prior year. Excluding MTEX, operating expenses were down. Non-GAAP operating income came in at $1.4 million for the fourth quarter versus $3.6 million in the year earlier period, primarily due to lower sales volume and a loss at MTEX. Adjusted EBITDA was $2.8 million for the fourth quarter of fiscal 2025 compared with the adjusted EBITDA of $5.2 million for the fourth quarter of fiscal 2024. Order backlog was $28.3 million as of January 31, 2025, compared with $31.4 million at the end of fiscal 2024. Turning to our PI segment results on Slide 14, revenue was down 3.6% from the prior-year period to $25.7 million. Excluding MTEX, sales in PI were down 9.8%, primarily due to lower sales of hardware and supplies. On a GAAP basis, our PI segment reported a loss of $11.2 million, primarily driven by MTEX and a lower unit volume. On a non-GAAP basis, the PI segment recorded an operating profit of $2.3 million or 8.9% of revenue compared with the segment operating profit of $3 million or 11.1% of segment revenue for the fourth quarter of fiscal 2024. This segment is not expected to perform strongly out of the gate in fiscal 2026, but we expect that these actions we are taking on cost reductions and portfolio realignment will be demonstrated as we move through the second half of the fiscal year. Moving to Slide 15, Test & Measurement, or now known to be as Aerospace segment, revenue was down 9.9% in the quarter from the prior-year period to $11.7 million The decline was primarily due to a delayed defense order and, to a lesser extent, deferred deliveries associated with the Boeing strike. Segment operating profit was $2.3 million for Q4 2025 versus $3.7 million in the prior year. We have some benefits for the Aerospace segment as we advance through the fiscal 2026 to include the release of the $2.2 million military transport contract, a major OEM transition to the ToughWriter and easier comps as we lap the Boeing strike. Looking at our balance sheet and leverage on Slide 16, cash and cash equivalents at the end of the quarter were $5.1 million, up $700,000 from the end of Q3. Funded debt decreased by $2.2 million to $46.7 million from $48.9 million at the end of Q3. Liquidity was $9.7 million at the end of the quarter, down from Q3 by $5 million. The revolver in our fourth quarter was reduced from $30 million to $25 million on the existing bank agreement with Bank of America, causing a drop in liquidity by $5 million. Turning to cash flow on Slide 17, in fiscal 2025, we generated cash from operations of $4.8 million compared with $12.4 million for fiscal 2024. Free cash flow was $3.7 million versus $11.5 million in the year-earlier period. Free cash flow for the fourth quarter was $2.4 million compared with $6.9 million in Q4 of fiscal 2024. This reflected lower net income from our legacy business, operating losses at MTEX and higher inventory in the 2025 period. Turning to guidance on Slide 18, as we stated in our pre announcement of April 7, for fiscal '26, we are anticipating net revenue in the range of $160 million to $165 million, representing a year-over-year growth of 7.4% at the midpoint from fiscal 2025. For the adjusted EBITDA margin, we are anticipating a range of 8.5% to 9.5%, representing a year-over-year growth of 60 basis points from fiscal '25 at the midpoint. There are two key drivers behind our growth assumptions. First, the successful integration of our new print engine and ink technology in PI, which should begin to contribute to our results in the latter part of the fiscal year. Second is our new Aerospace segment, the continued transition of the OEMs and airline direct customers to our ToughWriter branded family of printers from the other brands in our portfolio. Now, please turn to Slide 19, as I hand the call back to Greg for his closing comments.
Greg Woods: Thanks, Tom. In summary, we are laser-focused on integrating MTEX's transformative technologies across multiple printer platforms, accelerating growth in supplies and service revenue and working to unlock new market synergies. By leveraging the proven AstroNova Operating System, we are seeking to expand customer offerings, achieve operational excellence and drive strong returns on investment. In Aerospace, we're advancing the transition of the ToughWriter printer line. In the quarters ahead, we also plan to grow the service and supplies portion of the Aerospace product line and drive sales of our new TMX-200 data acquisition recorder. Profitability remains the priority. We aim to increase sales of higher-margin hardware and supplies while completing restructuring efforts to streamline operations, take out costs and position us for sustainable growth. Finally, we're taking decisive action to reduce debt and improve cash flow through an inventory reduction program. These initiatives reflect our commitment to financial discipline and delivering value to our shareholders. We made solid progress this quarter, but still have work to be done and are excited about the opportunities ahead. Now, Tom and I would be happy to take your questions.
Operator: Thank you very much. [Operator Instructions] I will now hand back over to Mr. Woods for any closing remarks.
 :
 :
Greg Woods: Thanks, everyone, for joining the call today, and we look forward to keeping you updated on our progress. Have a good day.
Operator: Thank you very much. That concludes today's conference call. You may now disconnect your lines.